Operator: Welcome, ladies and gentlemen, to the First Quarter 2025 Earnings Conference Call for Tactile Medical. At this time, all participants have been placed in a listen-only mode. At the end of the company's prepared remarks, we will conduct a question-and-answer session. Please note that this conference call is being recorded and will be available on the company's website for replay shortly. I would now like to turn the call over to Sam Bentzinger, Investor Relations at Gilmartin Group for a few introductory comments. Please go ahead.
Sam Bentzinger: Good afternoon, and thank you for joining the call today. With me from Tactile's management team are Sheri Dodd, Chief Executive Officer; Elaine Birkemeyer, Chief Financial Officer. Before we begin, I'd like to remind everyone that our remarks and responses to your questions today may contain forward-looking statements that are based on the current expectations of management and involve inherent risks and uncertainties. These could cause actual results to differ materially from those indicated, including those identified in the Risk Factors section of our annual report on Form 10-K, as well as our most recent 10-Q filing as filed with the Securities and Exchange Commission. Such factors may be updated from time to time in our filings with the SEC, which are available on our website. We undertake no obligation to publicly update or revise our forward-looking statements as a result of new information, future events or otherwise. This call will also include references to certain financial measures that are not calculated in accordance with Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. Reconciliations of those non-GAAP financial measures to the most comparable measures calculated and presented in accordance with GAAP are available in the earnings press release on the Investor Relations portion of our website. With that, I'll now turn the call over to Sheri.
Sheri Dodd: Thanks, Sam. Good afternoon, everyone, and welcome to our first quarter 2025 earnings call. Here with me is Elaine Birkemeyer, our Chief Financial Officer. In the first quarter total revenue grew 0.3% year-over-year to $61.3 million. In our lymphedema business line revenue decreased 3% year-over-year to $50.6 million and airway clearance revenue increased 22% to $10.7 million. Q1 gross margins increased 290 basis points year-over-year while adjusted EBITDA decreased 125% year-over-year as expected due to our planned technology and order process investments including the launch of our new Salesforce CRM module. Ultimately, these investments will enable increased efficiency, speed and data driven analytical insights, all necessary components for mid and long term growth. Meanwhile, we ended the quarter in a strong cash position with $83.6 million on the balance sheet to $10.7 million sequential decrease in cash is attributable to stock buyback under our stock repurchase program. Elaine will elaborate on our full financial results in greater detail shortly. I'll focus my remarks in two categories, a review of our business line performances including factors that impacted Q1 lymphedema results, the expected carry forward impact through the second quarter and the rationale behind our full year financial guidance revision. I will also discuss market tailwinds and strategy execution milestones aligned with our key strategic priorities. We are making high value investments and operational enhancements that will best position our business for mid and long term success. Beginning with the review of our lymphedema business line, lymphedema revenue declined on a year-over-year basis in the first quarter. The shortfall relative to initial expectations was driven by two primary factors. First, due to a strategic optimization of our sales organization that we started in Q4 and completed this February, we experienced a decline in sales headcount which resulted in a higher than expected headcount vacancy rate in Q1. While some attrition is common earlier in the year, we saw an outsized impact this quarter. As I shared last quarter, we see value in investing in our sales organization with technology as well as resourcing with the right people, in the right location and in the right type of role. The first phase of this sales optimization process included an analysis of both our current and desired future state headcount with an eye on growth and future leverage. During this phase, we paused on backfilling vacant roles until our rebalanced analysis was complete, avoiding prematurely placing resources that could be a mismatch in roles and location. The effect of this decision resulted in net fewer field resources as we ended the quarter with 264 total reps split between 161 account managers and 103 specialists. This compared to 280 total reps at the end of Q4. We are working with a sense of urgency to mitigate the impact of vacant territories and accelerate efforts to achieve complete territory coverage. We have open headcount requisitions aligned with the new territory alignment and have finalized role clarity for all customer facing roles. We have staffed our talent acquisition team and we are already seeing positive talent acquisition metrics including an increase in our sales headcount from quarter end to 277 total reps currently with an expectation to be over 285 total reps by the end of Q2 and over 300 by the end of 2025. This path will put the most resources in the field that Tactile has ever had and is an investment we can leverage and optimize as we scale our revenue and technology toolkit. We also expect our sales optimization strategies to have a beneficial impact on our lymphedema channel mix dynamics. As a reminder, our sales reps have call points across vascular and oncology practices, vein centers and lymphatic therapists who treat patients across government and commercial payers. Our territory optimization provides an appropriate human capital roadmap to strategically invest in the right roles in the right locations to meet and drive demand. The second factor in driving Q1 weakness was lower sales productivity as a result of the launch of a new Salesforce CRM module in mid-February. From an execution standpoint, we experienced a smooth launch and have received positive feedback on our training and change management plan. While support and enthusiasm for the tool are strong, mastering any technology requires a learning curve and the resulting impact on productivity for our reps included time out of the field for training and onboarding. Reps also experienced retirement of the previous tools that they had used to navigate their business with the launch of the new CRM. The temporary impact of this transition has been more pronounced than we had originally anticipated. With two months of direct hands on experience, our reps are becoming more proficient and we have data that supports early learning curve associated productivity gains associated with the new CRM. We have additional training plans throughout the remainder of Q2 and continue to share analytic insights and easy to use guides for the reps to accelerate their competency. From a strategic perspective, I firmly believe we have made the right decision to pause headcount replacements until we completed our current and future state sales analysis and action plan. I am also pleased that we delivered the launch of our Salesforce CRM module on time. Both of these actions encompass transformational change management initiatives that were necessary to advance our business over the short, mid and long terms. That said, I am disappointed that the cumulative effect of these factors pressured results in Q1 more than I had expected. Looking ahead, we also expect the transient impact of the sales vacancies and CRM implementation to affect our expected revenue growth throughout the second quarter. Specifically, we project revenue in the second quarter to be in the range of $73 million to $76 million and a full year revenue to now be in the range of $309 million to $315 million. I also want to touch on our Q1 airway clearance performance. Sales of AffloVest increased 22% year-over-year in Q1, a strong start to the year that underscores the quality of the product as well as the strategic execution and partnership growth with the top 10 DMEs in the market. For example, we have secured prioritized placement agreements with a select number of these DMEs that further validates AffloVest as a proven, patient friendly and differentiated therapy offering that is clinically advantageous to the growing bronchiectasis market. This priority position with our DMEs continues to be strengthened by field activities with physicians, including educating, clinical, training and marketing and sales leaders at all levels of the organizations. In Q1, our team educated nearly 800 respiratory DME partners and clinical customers on bronchiectasis and the benefits of Afflo in its care. Finally, broader awareness of bronchiectasis and its available treatment options among patients and clinicians continues to increase. AffloVest treats the entirety of the bronchiectasis disease process, so we are confident in its clinical necessity for generating better patient outcomes. The category is growing, our market share continues to strengthen and we are maintaining a strong number two position. In short, we are pleased with our airway clearance performance in Q1. We will remain focused on fortifying relationships with each of our top DME partners and penetrating further within these accounts to continue the strong growth through 2025 and bring AffloVest to the 5 million diagnosed and undiagnosed bronchiectasis patients in the U.S. With that backdrop on our Q1 lymphedema and airway clearance results, I want to provide an update on our three strategic priorities for growth improving access to care, expanding treatment options, and enhancing lifetime patient value. These three areas of focus are designed to unlock our TAM and enable scalable, profitable growth. We delivered tangible updates across each of these initiatives in Q1 and I will continue to provide updates on our progress throughout the year. Beginning with improving access to care, I want to build off the details from last quarter and provide highlights from three areas of focus, the first being human capital and technology investments to streamline the sales and order management process. We have routinely shared our progress on this front over previous quarters. In Q1 we again executed our strategy through the modernization of various workflows aimed at increasing efficiency for both clinicians and our back office. Specific to Q1, we launched the Salesforce CRM module in February as mentioned earlier. This tool represents a substantial upgrade over the previous system and offers significant improvements in sales operations such as streamlined workflows and visualization of task identification and completion status. Sales rep productivity will be enhanced with the tool's data driven decision analytic capabilities that informs the rep how best to focus their time and guides them to where the next best opportunity is to pursue. Our e-prescribing platform Parachute is another example of a workflow tool designed to streamline the order process and more efficiently turn referrals into orders. We continue to see growing adoption of this tool which we expanded from pilot to national rollout late last year. Since then, approximately a quarter of new orders of our basic pump, Entre Plus and now Nimbl have been generated through this e-prescribing platform. Given its success since launch, we will be expanding Parachute's e-prescribing functionality to our advanced pump Flexitouch this year and expect to see similar favorable adoption among clinicians. We know not every clinician will choose to adopt e-prescribing technology. For those that prefer traditional documentation, we are looking forward to an upcoming pilot of an AI based tool designed to improve speed and increased accuracy for the non e-prescribed order process. We expect to learn more over the next two quarters regarding the scaled application of this tool in our order management process and we'll share more details once we begin the pilot. Clinical evidence generation is another driver for improving access to care. In June, two month data from the Flexitouch versus standard of care for head and neck lymphedema trial will be presented at the Annual Meetings for both the American Society of Clinical Oncology and the Multinational Association of Supportive Care. While I cannot share the specific results ahead of these meetings, the abstracts are in line with our expectations that Flexitouch provides clinical and quality of life benefits in this underserved population. The six month data analysis is underway and on track for journal submission and public dissemination in the second half of the year. We look forward to sharing the long term results of this first of its kind study and will be advocating for PCD therapy to be reflected in government and commercial payer policies, clinical guidelines and provider and patient training and awareness. Reimbursement has been a dynamic barrier to access to care and I've spent considerable time on previous earning calls both educating and bringing real time awareness to the evolving coverage policy landscape. The NCD coverage language continues to require documentation of "unique characteristics" for a patient to progress immediately from conservative therapy to an advanced pump. The term unique characteristics remains undefined in the policy. Through successful claims adjudication and ongoing engagement with the MACs, we are learning how the MACs are interpreting unique characteristics and we believe there is a supportive coverage environment for patients that need advanced pump placement. We are increasingly confident that the MACs approach aligns with our shared goal of ensuring the right patient receives the right product, a mission that is central to everything we do at Tactile. Our second strategic priority is focused on expanding the treatment options for lymphedema patients. In Q1 we saw strong growth and adoption of Nimbl, a first product launched on our new lymphedema platform and the next generation of our basic PCD. Since its full launch for upper and lower extremity lymphedema in February, Nimbl is outpacing the broader lymphedema market growth which we believe reflects both patient and provider preference and enthusiasm for the product given its unique features and capabilities. Our sales reps are also energized by Nimbl and its ease of selling, particularly when coupled with our e-prescribing platform. Stronger Nimbl adoption benefited from our Medicare channels, specifically in the quarter where sales grew 6% year-over-year. Our reps had a stronger presence in vascular practices in Q1, where we typically served more Medicare patients as compared to other channels. This ultimately impacted the bandwidth of our sales reps in certain territories to support oncology and VA patients and as a result, sales in the VA and commercial channels where we have a higher proportion of Flexitouch patients were pressured in Q1. With the optimization of our sales organization now complete, we expect to see the return to growth in each of our channels moving forward. We have resourced our organization and channels appropriately. We are the dominant market leader in advanced pumps. The patients are there and remain underserved and we believe our Nimbl and Flexitouch products will help drive growth for us and the market broadly through 2025. The rest of our product roadmap for our next generation advanced pump, Nimbl enhancements and incremental features and functionality benefits Kylee are progressing. We are committed to staying the market leader in medical device lymphatic therapy and delivering clinical effectiveness in both basic and advanced pump therapy. Our third strategic priority is focused on enhancing lifetime patient value. One of the critical ways we can accomplish this is by helping patients more efficiently navigate the often complex end-to-end lymphedema care journey. This quarter we centralized two existing teams comprising our Patient Education Consultants or PECs and back office patient support team into one consolidated team called Patient Services led by a newly created role on our Executive leadership team. With this action, we combine the two groups who interface most directly with our patients into one team to ensure we have a consistent approach when engaging with patients pre, during and post order. Certain elements of our business remain unchanged with this action. For example, our PECs continue to be a vital resource for our sales team and we ended Q1 with 62% of in home demos performed by our PECs, up from 52% at the end of Q4 and 35% a year ago. We are pleased to see consecutive utilization increases with our PEC staff and expect that trend to continue. We are also looking at new ways in which our patient services team can engage with the patient earlier and more frequently in the order process which will further alleviate sales rep engagement with the patient and increase patient support connectivity for our patients. To that end, we will be implementing two pilot programs leveraging our patient services team that will seek to maintain consistent touch points with the patient to keep them engaged with Tactile throughout the pre order process. We know that this part of the patient journey is particularly complex and drawn out and there are things we can do to create a better overall experience for our patients. Finally, we are increasingly focused on market development initiatives, specifically with respect to generating patient awareness of lymphedema and its current treatment options. One way we are approaching this is through promoting the use of our Kylee Patient Engagement Tool. Kylee is a free tool available to anyone suffering from lymphedema and provides patients a way to track symptoms, log their lymphatic therapy sessions, their compression garment utilization and share results with their care team. With Nimbl, their PCD therapy is automatically connected and stored. This is a differentiated offering for patients with lymphedema and a great source of insight for our business. We have two milestones approaching. In the next month or so we will have 50,000 individual patient profiles registered with Kylee and 1 million user check-ins. These are two distinct but complementary value propositions associated with Kylee and these metrics. First, in addition to tracking symptoms and treatments, Kylee is also a powerful education resource for patients who may be on the front end of their care journey, either undiagnosed or recently diagnosed and includes information on lymphedema and its available treatments so that patients can be informed when speaking to their clinician regarding their symptoms and self-management. We believe increased utilization of Kylee will enable a more effective and connected care pathway for patients and their clinicians and provide our organization more insights into opportunities to help support patients with product and service innovation. Second, with access to 50,000 unique patients and 1 million check-ins to date, we have significant data that will inform insights on utilization and outcomes of our product and other treatment, patient symptoms and disease progression. Additionally, it serves as a communication tool where we can personalize touch points with patients, survey product features and functionality preferences, test innovation concepts, and much more. We are just getting started and will continue to optimize Kylee as a patient and provider asset and as a Tactile asset for our own market development and innovation plans. With that, I will now have Elaine review our Q1 financial results in more details and provide an update on our guidance for 2020.
Elaine Birkemeyer: Thanks, Sheri. Unless noted otherwise, all references to first quarter financial results are on a GAAP and year-over-year basis. Total revenue in the first quarter increased $180,000, or 0.3%, to $61.3 million by product line, sales and rentals of lymphedema products, which includes our Flexitouch, Entrez and Nimbl systems, decreased $1.8 million, or 3%, to $50.6 million and sales of our airway clearance products, which includes our AffloVest system, increased $1.9 million, or 22%, to $10.7 million. Continuing down the P&L, gross margin was 74% of revenue compared to 71% in the first quarter of 2024. The increase in gross margin was attributable primarily to lower manufacturing and warranty costs, a testament to improvements in product design and improving collections reflected in our revenue. First quarter operating expenses increased $3.5 million, or 8%, to $49.9 million. The change in GAAP operating expenses reflected a $0.2 million increase in sales and marketing expenses, a $0.4 million decrease in research and development expenses, and a $3.7 million increase in reimbursement, general and administrative expenses, including and primarily driven by strategic technology investments. Operating loss increased $1.6 million, or 53%, to $4.5 million. Interest income increased $0.2 million, or 26%, to $0.9 million due to our increased cash position. Interest expense decreased $0.1 million, or 25%, to $0.4 million. Income tax benefit increased $0.5 million, or 83% year-over-year to $1.1 million. Net loss increased $0.8 million, or 35%, to $3 million, or $0.13 per diluted share, compared to $2.2 million, or $0.09 per diluted share. Adjusted EBITDA decreased as expected, to a loss of $0.3 million compared to income of $1 million. With respect to our balance sheet, we had $83.6 million in cash and cash equivalents and $25.5 million of outstanding borrowings at quarter end. This compares to $94.4 million in cash and $26.3 million of outstanding borrowings as of December 31, 2024. Our Q1 cash balance reflects one time impacts from certain cash outflow items, including $5.7 million related to our annual bonus payment. We also sponsored an additional $10 million of stock buybacks during the first quarter under our repurchase program. Turning to review of our 2025 outlook. For the full year 2025, we now expect total revenue in the range of $309 million to $350 million, representing growth of approximately 5% to 8% year-over-year. This revision reflects the sales vacancy and the impact of the CRM launch on sales rep productivity in the lymphedema business during the first half of the year along with strength we are observing in the airway clearance business. Our 2025 total revenue guidance range assumes that growth for a lymphedema product line will be 4% to 5% and growth for our airway clearance product line will be 20% to 23%. For modeling purposes for the full year 2025, we now expect our GAAP gross margins to be approximately 74%, our GAAP operating expenses to increase 9% to 11% year-over-year as we invest in our sales organization and advance our tech related investments throughout the year. Net interest income of approximately $2.4 million, a tax rate of 28%, and a fully diluted weighted average share count of approximately 24 million shares. As a result of our continued investment in the business, we expect to generate adjusted EBITDA of approximately $32 million to $34 million in 2025. Our adjusted EBITDA expectation assumes certain non-cash items including stock compensation expense of approximately $8.6 million, intangible amortization of approximately $2.4 million, and depreciation expense of approximately $4.3 million. Based on what we know today, our adjusted EBITDA guidance also includes a $1 million cost of goods sold impact related to tariffs. We are actively monitoring global trade policies and assessing the potential impact of tariffs on our business which remains a very dynamic and fluid situation. Based on current information, we expect a total tariff impact on cost of goods sold in 2025 of less than $5 million. We are actively pursuing a range of viable mitigation activities to reduce our projected tariff impact. These include options for reshoring, manufacturing contract compliance for supplier tariff absorption, tariff exemption policies, and other cost of goods sold reduction strategies. With that, I'll turn the call back to Sheri for some closing remarks. Sheri?
Sheri Dodd: Thank you, Elaine. I just returned from our national sales meeting where we brought together over 400 employees to support training, share best practices and fine tune the execution details of our 2025 Commercial Action Plan. My confidence in our team and our business remains high. Our sales leadership and field teams are committed to driving productivity with the implementation of the CRM system and executing on our 2025 Commercial Action Plan. Our mid to long term success requires strategic investments in human capital and technology which are reflected in our 2025 plan. Every investment is scrutinized to ensure alignment with our three growth strategies and I'm confident in our ability to deliver value through 2025 and beyond. With that operator, we will now open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Margaret Kaczor Andrew with William Blair. Please proceed with your question.
Margaret Kaczor Andrew: Hi, good afternoon everyone. Thanks for taking the question I wanted to start out with and just push a little bit on the revenue guidance for the year. What assumptions get you to the high and low end of the range and what do you consider especially as you go into Q4 for sales productivity metrics because it does seem to imply that you're kind of exiting the year at a maybe mid-teens growth rate.
Sheri Dodd: Hi Margaret, this is Sheri. I'll actually have Elaine start answering that question relative how we got to our guidance assumption and I'll wrap up any other points.
Elaine Birkemeyer: Yes, so I think a couple of things that were taken into account as we thought about high and low. One of them is a focal point of our discussion which is around the speed of hiring the planned sales roles that's an important driver as well as the sales rep proficiency in the new tool and gaining sales rep productivity. I think the other thing that we're encouraged by is the success we've seen with our Parachute rollout. And as we extend that to Flexitouch, we think that we'll start to see traction as well there. We also are continuing with our back office efficiency with some of the AI tools that Sheri mentioned that we think will provide momentum in the back half. And then lastly we are excited about what we've been seeing with AffloVest and Nimbl and really that continued strong adoption and momentum with both products there have also been taken into account. And obviously there are varying assumptions on both ends as we thought about the high and low there. And then as specific to I think your question a little bit around kind of what that implies, maybe more so for Q4, but probably that sequential growth, it will cause our sequentials to look a little bit different than years past. Particularly Q3 has typically been something that's been in a more modest 0 to 5 range from a growth perspective - sequential growth perspective over Q2. This year I think we are going to see something closer to the low double digit growth rate from a sequentials and then I think Q4 is going to look a lot like typical Q4s in that range there. So hopefully that gives you a little bit more perspective on the shaping from a sequential perspective.
Margaret Kaczor Andrew: Okay, that's helpful. And as a follow-up - I'll follow up on that point and then maybe extend it into 2026. So one, as we look at the reps that you guys are hiring, take 6,12 months to reach full productivity. So I guess as you point to 2026, I'll start there first. Is that when growth should really start to continue to accelerate. And if I do some easy math and just assume, 300 reps next year to start next year versus the 264 that you guys were at the end of Q1, I think that's 13%, 14% growth just on headcount plus all the other activities that you're referencing. So I guess long question but does that imply closer to that mid-teens revenue growth as we move to 2026 and then as the follow-up to the guidance range, does the low end then assume that there are more delays maybe to the hiring versus more accelerated hiring trends? I'm just trying to get a sense of how much risk and reward there is within that range. Thank you, guys.
Sheri Dodd: Yes, so I think in terms of 2026, I don't think we're prepared yet to comment. We will be able to provide more information as we move further into the year and make some more progress especially around our strategic initiatives. But we will be exiting the year with more momentum than we have here in the first half of the year. And then yes to your question around the high and the low end, those factors that I mentioned, really, it's really the speed of hiring. So we have one set of assumptions that takes us that's a little bit more modest in terms of speed where others were able to hire up faster. So just as you remember, our Q4 is our largest quarter, so us having our hires done earlier in the year will benefit us versus taking longer. So those kind of things are kind of what helps us put that high and low, in addition to that productivity that we mentioned, as far as the gaining competency of our sales team and the new CRM and the speed in which they start to grow comfortable with the new tool.
Elaine Birkemeyer: Yes. The other thing that I would say with that, Margaret, is, for this earnings call, we are specifically stating the number of reps that we expect to have by Q2. That wouldn't be a normal piece of information that we would typically share right on the quarter basis, but because our plans are mapping to having that number by the end of Q2. And then, as said, we'll be at 300 by the end of the year, which will be the most reps that we've ever had. We're very committed to making sure that we get those reps hired and again, located in the right part of the country and the right type of rep. You mentioned the onboarding and productivity at rep. That ramp time is typically actually between about six and nine months. Our TAM or our territory managers tend to be a little bit longer, and those product specialists is typically shorter. So also with these reps coming in, they don't have to learn an old tool and then convert to a new tool. They'll be starting right after that with the salesforce CRM tool. I know many of these reps coming in will have already had exposure to CRM, so we're anticipating even some improvement in that time to productivity, if you will, for those new hires.
Margaret Kaczor Andrew: Okay, great. Thank you.
Elaine Birkemeyer: Thank you.
Operator: Thank you. Our next question comes from the line of Adam Maeder with Piper Sandler. Please proceed with your question.
Unidentified Analyst: Hi, this is [Kyle] on for Adam. Thanks for taking the questions. Maybe just to dig in a little bit more on the guidance in particular between the lymphedema business versus the AffloVest business and the growth rates there. I believe the prior guidance was about 8% to 10% for lymphedema and about 6% to 9% for AffloVest. So just kind of curious how that changes now with the new guidance with all the different puts and takes that you've discussed tonight. Just, yes, would appreciate any specifics you can give there.
Elaine Birkemeyer: Yes. So as shared in our call we've revised the lymphedema product line growth rate to 4% to 5%, and then airway clearance is 20% to 23%. So that has been updated since our last guidance.
Unidentified Analyst: Okay, great, thanks. And then I guess to follow-up, could you just give us any update on Nimbl? Can you kind of just walk us through how you envision the commercial launch progress? What's kind of the feedback been like so far and any of these sort of restrictions around manufacturing or inventory levels, just any color you could give there?
Sheri Dodd: Sure. Happy to share more. I mean, we're really pleased with the launch of Nimbl, being able to have both the upper extremity, which we launched in November, and then the lower extremity we launched on time in February. And as shared on the call, we're seeing about a quarter of all of the orders on Nimbl coming through Parachute as well. So we have a product that's easy to use, it's growing fast. We believe that growth is coming both from market share gains as well as just expanding and opening up the market in general because of that ease of use, lightness, portability is really a great feature benefit profile for Nimbl. So Nimbl coupled with Parachute is really making a streamlined experience for both the patient and the provider. We don't have challenges in our manufacturing. We've been able to meet all product demand and are in really good shape in that way. Did I miss an aspect of your question for Nimbl?
Unidentified Analyst: No. That's great. That's all very helpful, thanks.
Sheri Dodd: Yes, you bet. It's really an exceptional product. We're so glad to have it available to our patients.
Operator: Thank you. Our next question comes from the line of Ryan Zimmerman with BTIG. Please proceed with your question.
Ryan Zimmerman: Good afternoon. Thanks for taking the questions, Sheri and Elaine. I want to start with the exit rates of March, particularly in the lymphedema business. Just given some of the commercial changes that you're doing, maybe you could talk a little bit about the end market, I think. Sheri, you made a comment about how Nimbl is outperforming the lymphedema market. I'm trying to reconcile that with just kind of the guidance and some of those changes and how you can point to that specifically relative to the guidance changes.
Sheri Dodd: Sure. So, Elaine, why don't you talk about how we - would you mind kind of sharing what we can about informing the guidance as it relates to both product and payer because there's a bit of - because the Nimbl product, especially when we launched lower extremity, that is a product that's like especially because it's a basic pump is likely going to be in vascular. Ryan, and so those vascular practices have a lot of these patients. It's a larger part of our business than the oncology Flexitouch type of business. Elaine why don't - I'll have you kind of walk through kind of that in market and the guidance input and then I'll weigh in as well if there's more color.
Elaine Birkemeyer: Yes. So I think in terms of the end market, so we are we're not seeing any change in where patients are coming through in terms of point of call or any changes in demand. And it really - our mix in terms of our channel as well as, seeing strength and Nimbl more so even than in Flexitouch really had to do more so with where our reps spend the majority of their time. So with the excitement of Nimbl a Nimbl lower extremity specifically, we see patients who require lower extremity basic pump more often in vascular and those patients tend to be also older, which is why we also saw that increase in Medicare. And so really that point of call focus with the product really also then drove not only the product growth as well as that channel growth, then consequently as well, because of the vacancy we had, we were not able to spend as much time in the oncology and VA points of call. And those as you recall, we've had this - I think we've mentioned this in the past. We typically see more commercial patients in oncology as well as a higher mix of our Flexitouch products because they tend to have lymphedema that extends to their chest and trunk based on their treatment. And then in VA as well, we exclusively distribute our Flexitouch product in that channel. So that gives a little bit of just sort of the market hasn't changed really sort of the channel mix and why we saw a bit of a different growth rate between our products had more so to do with where our sales reps spent their time. And then in terms of I think your question was what do we contemplate as we were exiting Q1, I will tell you, we not only contemplated Q1, but we also really focused on April results as well. And while we can't share obviously any specifics, we did take into account, as Sheri in her comments mentioned, what we're seeing in terms of our hiring and ability to staff up fairly quickly, as well as that growing proficiency with our sales team. And so that in combination with our Q1 has really what resulted in both our Q2 guide as well as our full year guide.
Ryan Zimmerman: Okay, helpful. The other question I have just around the P&L, Elaine, is given the increases in spend that you're doing this year with the sales force and kind of where we expect growth to be next year from a topline perspective. I guess, would you expect improving leverage in '26 as you get back to, let's say you've made all those hires, you're at 300 reps, give or take. I mean, when do we start to see leverage again in your model on the P&L? Thanks for taking the questions.
Elaine Birkemeyer: Yes, absolutely. So I think there are two drivers here, so one as you mentioned is staffing up and that leverage will come as those resources gain proficiency. And so, and that's - and that's in that kind of six to nine month timeframe that we talked about. But the second piece that we're seeing in the OpEx increase also has to do with an increase in our technology spend. While some of it will continue, there's absolutely kind of implementation or more one-time spend that's in there that would not be persistent going forward. And so we'll start to see our ability to scale on that as well. Those costs shouldn't - once we get past kind of the full deployment, shouldn't continue to increase at the rate that they have been in the past there. So I think once we get past this bolus of our strategic work that we're doing here, we should start to see operating expense leverage once again.
Ryan Zimmerman: Okay, thank you.
Sheri Dodd: Thanks, Ryan.
Operator: Thank you. Our next question comes from the line of Siraj Khalid with Oppenheimer. Please proceed with your question.
Unidentified Analyst: Hi Sheri and Elaine, this is [Seamus] on for Siraj. Thank you for taking our questions. Just to start in airway clearance, you guys had some really nice acceleration there, I guess. Can you give us a little bit more as to, the cause of steps, change and growth, how sustainable that is going forward and kind of anything you might want to call out there that led to this or we could watch to make sure kind of this is consistent.
Sheri Dodd: Yes, Seamus, we're really pleased with the airway clearance business and I think this is an absolute story of what it looks like when you are focused on strategic accounts and when you develop those strategic relationships and then starting a calendar year where you have alignment with that strategic partner. So as shared, we have some priority placement of our products agreements with some of these DMEs, i.e. they have a preference for AffloVest in the portfolio and the reps then are incented and it's part of the portfolio that they're prioritizing for those reps to be using. Last year we had some of those agreements in place, but what we did not have in place was alignment from the financial and the P&L standpoint. For example, that may have been a mid-year strategic alignment, but for that specific DME may not have allocated the appropriate amount of capital for the purchase of AffloVest because again, it's a cap rental, so it sits on their books right until it turns over into ownership. So as we started off this year, not only do we have alignment on what that capital allocation is going to be and commitments from those DMEs, but then we also have the strategic partnership and preferred product placement. So we have alignment with the reps. And I think that these are the factors that when everything starts to align, this is then how it takes off. On top of that we have a really great product and our product is very competitive in the marketplace. We're in a very strong number two position and gaining. And so we have patient preference, we've got physician preference and appropriate placement with our DME reps. And I expect that to continue to manifest throughout this year and beyond.
Unidentified Analyst: Got it. I appreciate that. And then next kind of, I guess by my math and you guys probably have a better idea than I do, but rec productivity seemed flat to slightly up year-over-year. So I guess maybe can you break down within lymphedema, like well what maybe - what difference may have been done due to attrition versus tool training in terms of reproductivity. And then kind of going forward, you guys are hiring up to 300 I believe sales rep by the end of the year. Where does the new CRM tool fit into that? Is that increasing just productivity? Is it stopping you from hiring additional sales reps? Any color there? Thank you.
Sheri Dodd: Yes. Our entire exercise when we looked at this sales optimization plan was really to say what are the type of roles that we need in the field? And we've talked about this since why we renamed redescribe what those field roles look like. We have the product managers, those are our quota caring reps. We have our product specialists, formerly we called them an a TAM. And then we have our PECs, those patient education consultants that are Tactile employees that are out in the field engaging with patients. And so when we did that rebalance or that optimization exercise, we took a look at the entire United States and said, where do we currently have people? Where is the revenue kind of per rep, i.e. then where do you look at productivity per rep and what are the ways that we can rightsize that so we have more of an average versus some territories are really small and some are really big. This is a classic exercise businesses should do. They often don't want to do it because it creates a lot of disruption. And so you kind of continue to throw reps and you're a little bit out of balance. We took the hard right here and did the analysis and did the exercise to say this is how many we need and where we need them and the type of rep that we need. And by doing that, we were able to say, okay, for us to get to the revenue growth that we need to have and want to have for 2025 and beyond, we want to end the year with 300. To get that amount of revenue as we go into 2026 and 2027, et cetera, is not going to take that same degree of salesforce investment. I expect to get the productivity out of those reps by having them in the right place with the right role, right in that right pod of the PECs, plus the product specialist and the account managers. On top of that, then you have a CRM tool. And the CRM tool, its whole premise is to get to value. So how do you make it faster and more efficient and really direct the rep on where they need to go today, what do they need to do tomorrow? And so it helps them be really efficient, which helps overall productivity. So it's both having the right reps in the right place, in the right role, as well as the CRM tool. These come together to get to that rep productivity that we're making these big investments in 2025. And the result of that will manifest in staying with essentially what our back half guidance was and delivering on that back half with that productivity, as well as then when we get to a time of forecasting and looking at our 2026, you will see the impact of that productivity and leverage.
Unidentified Analyst: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Anderson Schock with B. Riley Securities. Please proceed with your question.
Anderson Schock: Hi. Thank you for taking our questions. So first, how many clinicians did you reach through your education platform in the first quarter? And I guess how are you tracking towards your goal of at least 12,000 this year?
Sheri Dodd: You know we didn't report this quarter on our lymphedema outreach, but according to our tracking from an internal, when we're tracking our goals and objectives, we're right on target. As I shared in the prepared remarks, we were able to reach 800 clinicians on our bronchiectasis business, which rolls into that total number. So we're right where we want to be for both our lymphedema and AffloVest clinician outreach.
Anderson Schock: Okay, got it. And then what percentage of patients are actively using Kylee? And I guess how does therapy compliance differ between these patients and those who are not using Kylee?
Sheri Dodd: We don't have the data on patients that are not using Kylee, right, because we have some data that's based on a survey outreach. I mean, we survey all of our patients at 90 days to get some data on satisfaction and their utilization, but we don't have those type of metrics which would be in a, some sort of study you would have to have by enrolling them. So what we know though is on the Kylee ones we're able to see what the check-ins look like and again when they do their therapy, how long their therapy is lasting as well as their own self reporting of symptoms. As I shared, we have over 1 million check-ins. Some patients are going to do it more regularly than others. Just because they're not checking in doesn't mean they're not doing their therapy. So it is observational the data that we're collecting and obviously patient generated. But it does give us a lot of insights for us to start testing hypotheses and reaching out to patients to kind of understand what could help support compliance with therapy or if the amount of therapy sessions that they're doing and having an impact on symptom reduction, then that would be very good to collect as well. Every patient's going to be different and everyone's condition and severity is different. So there's not one right answer for everybody. And that's why the value of this data, I think are going to be very impactful as we learn more about this population during their care continuum and particularly after they get their therapy.
Anderson Schock: Okay, got it. Thank you for taking our questions.
Sheri Dodd: Thanks.
Operator: Thank you. And we have reached the end of the question-and-answer session. And this also concludes today's conference. You may disconnect your lines at this time. We do thank you for your participation.